Operator: Welcome to the Q4 2014 Gevo Incorporated Earnings Conference Call. My name is Adriane, and I will be your operator for today's call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Brett Lund. Brett Lund, you may begin.
Brett Lund: Good afternoon and thank you for joining Gevo's fourth quarter 2014 conference call. I'm Brett Lund, Gevo's Chief Legal Officer and General Counsel. With me today are Pat Gruber, our CEO and Mike Willis, our CFO. Earlier this afternoon we issued a press release which outlines the topics that we plan to discuss today. A copy of this release is available on our website at www.gevo.com. I would like to remind our listeners that this conference call is open to the media and we are providing a simultaneous webcast of this call to the public. A replay of our discussion will be available on our website later today. On the call today and in this webcast, you will hear discussions of non-GAAP financial measures. Non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in accordance with GAAP. Reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures is contained in the press release distributed today, which is posted on our website. We will also provide certain forward-looking statements about events and circumstances that have not yet occurred, including projections of Gevo’s operating activities for 2015 and beyond. These statements are based on management's current beliefs, expectations and assumptions, and are subject to significant risks and uncertainty, including those disclosed in Gevo's most recent annual report on Form 10-K, which was filed with the SEC on April 14, 2014, and in subsequent reports and other filings made with the SEC by Gevo. Investors are cautioned not to place undue reliance on any such forward-looking statements. Such forward-looking statements speak only as of today's date and Gevo disclaims any obligation to update information contained in these forward-looking statements, whether as a result of new information, future events or otherwise. Please refer to Gevo's SEC filings for detailed discussions of the relevant risks and uncertainties. On today's call, Pat will begin with a review of our recent business developments. I will provide a brief review on the status of our intellectual property and litigation. Mike will then review our financial results for the fourth quarter of 2014. Following the presentation we will open up the call for questions. I will now turn the call over to Pat.
Pat Gruber: Thank you, Brett. The fourth quarter 2014 was very good quarter for Gevo. We achieved a lot on the isobutanol front, met meaningful production milestones to plant, and have now established a great position from which to really accelerate our licensing program. So first I’ll talk about Luverne. We demonstrated that our side-by-side operational process to produce isobutanol worked. We were able to produce isobutanol and ethanol in the same plant at the same time. That's a big deal, a lot of people thought that we couldn't do that and manage the impressions but we can. We were able to answer these all the confirming isobutanol startup issues that had previously been biting us. We have a goal of greater than 50,000 gallons produced in a month and we achieved that. We are able to deploy second-generation yeast to produce isobutanol improving the yields and rates further. We were able to show that we could manage the process, manage the infections, operate the isobutanol process on a normal basis and continue to improve the process. Ultimately, what we are trying to demonstrate and prove out is that we can produce isobutanol our production cost that support profitable isobutanol operations at commercial scale. Currently, operating under side by side, were by only one parameter dedicated to isobutanol this is not the case. To simply put, we can now produce sufficient gallons of isobutanol to absorb the fixed cost base associated with running isobutanol at Luverne. Now with that said, we are in a position to extrapolate the data that we have generated both at Luverne plant under side by side as well as at our labs in Denver to support ultimate optimized isobutanol production cost that would indicate EBITDA margins for isobutanol of about $0.50 to $1 per gallon. We believe that at this time it is merely an engineering and equipment exercise to make isobutanol profitable. You know what, this isn’t just our opinion, we've had a lot of visitors to our plant in 2014 visiting us in particular a company called Praj have spent a lot of time calling all over us in Luverne at the plant going through the process details for isobutanol fermentation and our GIFT systems. This concluded auditing, individual batches from start to finish. As you would have read in our press release couple of days ago, Praj is a global leader in process engineering, equipment manufacturing for the ethanol in pharma industries across 60 countries. Following a success of due-diligence at the Luverne plant, they confirmed our isobutanol cost projections and they believe in our technology and after they are becoming a strategic partner with us. We just signed an MOU with Praj, Praj and Gevo see it as possible to develop 250 million gallons per year of isobutanol outside of the U.S. using sugar from cane and molasses as a feedstock, and leveraging Praj plans that have been build worldwide. We also anticipate potentially working with Praj here in the U.S. too but the details of what this would entail still be lined out and will be detailed for later day. Praj has lot of capabilities. They are really good at processed technology, equipment manufacturer and deployment of the equipment and the processes. Our team is really looking forward to working with them. While we are excited by the opportunity to build out isobutanol capacity with Praj, we are also moving forward with our licensing programs on many other fronts. In addition to IGPC, Highland EnviroFuels', Porta Hnos, that you already heard about there are others as well, as a result this year our goal is to complete at least one definitive licensing agreement. Now turning back to Luverne, over the course of 2015 we will manage the plant to maximize cash flow, minimize burn. We are keenly aware that we have to manage our cash to minimize burn across the entire organization. As previously discussed, the Luverne plant is not capable of running isobutanol profitably, our volumes were too low. In order to expand our isobutanol volumes, we will need to add some capital equipment to debottleneck the plant. We have plans to do that debottlenecking but it will take some money. I think our money is better used in the near term to defend our freedom to operate, continue to see the applications in market development and to develop the licensing business. When I look to the future, I do see that Gevo would expand isobutanol capacity at Luverne. And we are in discussions with certain strategic partners who maybe willing to fund that such an expansion. However in the meantime, we believe that this is not required in order to get licensing business. Licensing and bringing a strategic investment to Luverne is our focus in 2015. We will run isobutanol markets, help customers, and improve our process improvements but we will do it in such a way to minimize cash outlays. Now on the markets front. We believe and our licensing partners believe that isobutanol has a bright future. In fact we have made a lot of progress validating the market applications, segments, and price points for isobutanol, it will be a mistake for anyone to simply look up reported oil base for isobutanol sales, as reported by the typical market sources and therefore concludes that the market size for isobutanol is small. In actuality, what we are doing is developing new uses for isobutanol, do applications and these applications cut broadly across fuels and chemicals, how is it possible? Well, isobutanol's renewable have to be cost competitive, both as a fuel product in that chemical intermediate and that actually is very attractive. Now we do get lots of questions, I am surprised of oil field, how can biobased products be competitive. The answer is that production cost of biobased products are not tied to oil, instead they are tied to the cost of carbohydrates. It is the spread between the price of oil and cost of carbon from renewable resources that matters. On the cost of carbon from oil and carbohydrates reached the ratio of 3:1 then the cost of carbon would be roughly at parity on a carbon-to-carbon basis. A $50 to $60 per barrel oil and corn price worth yesterday, the ratio of oil to carbohydrates is about 2.7, it's not very far away from 3:1 ratio, where we achieved parity on a carbon-to-carbon basis, oil versus renewable and you know what, this is actually better ratio then we did the IPO several years ago. So even though oil is edible price, there are large attractive markets out there and it really is the spread that matters, you have to consider both the cost of the carbohydrate against the oil. Now in terms of the specific market progress, we are really pleased with isobutanol as a marine field. We probably have seen Gevo's press release describing how concerning about marine manufacturers due to multiyear cycle including isobutanol is a superior gasoline oxygenated blend stock compared to what has been available for use with small boat engines. Now guys doing a lot of work with the in that marketplace and finding that this niche market is something on the order of 2 billion gallons per year. It is an attractive market where isobutanol shines in its performance. Gulf Racing has been placing isobutanol gasoline blend stock or blended gasoline in off road applications for the same reasons. The performance of our isobutanol solves customer problems, I like that Gulf has placed isobutanol blended gasoline at NAPA Auto for use of small engines. We will also be working with Gulf to target the marine market and it’s very good to see that others are validating the performance of isobutanol in gasoline and that the performance value is real. We are seeing new applications in the chemical space too, Brenntag one of the world’s largest chemical distributors has been placing isobutanol mechanicals market for use of traditional southern markets but the renewability of isobutanol has enabled other markets and new applications such as Royal Drilling. We've been doing quite a lot work on jet fuel in anticipation of getting ASTM approval for Jet which we expect to get by mid-year 2015 and we anticipate to complete a military spec qualifications in 2015 as well. Recall that order to make jet fuel we started with isobutanol from Luverne, then process that isobutanol with a chemical process, transforming it into jet fuel, and we have been doing this since 2011. Our numbers and analysis indicate that our gallon to gallon finish basis jet fuel from isobutanol could be cost competitive for petroleum based jet fuel somewhere in the $75 per barrel oil range and we don’t think oil will stay at a $50 barrel level forever. Based on potential customer feedback, we think we are the lowest cost renewable option available for jet fuel going into the future. We like the potential opportunity, supplies to military and commercial jet. We landed definitive agreements that enable us to fully commercialize Jet. Isobutanol continues to have potential as the raw material for making rubber, plastics for packaging, water bottles and many other applications. Now taking the step back, I think it is important to talk about what Gevo was fundamentally about and what we ultimately are trying to achieve as a company. We believe that it’s possible to replace oil based fuels and chemicals with renewables, delivering cost and better products that have reduced environmental footprint while delivering the same or in some cases better performance than the products that replace. I am talking about fuel blend stocks, fuel and sales, chemicals that can make up the plastics for water bottles, for textiles, for packaging, for car parts, for diapers, for plastic cups or plates, for specialty chemicals resultants, for oil field drilling fluid and the list goes on and on. The long run market potential is enormous, all of these applications that I have just listed have the potential to be addressed or made from a couple of low cost biobased alcohols. isobutanol and ethanol. The game is all about delivering the same or better performance, the cleaner, greener and cheaper that matters in the long run. This is what [indiscernible]. We are bringing new technology to the market that has some tremendous potential. With that said, we have recently began introducing a technology to our strategic partners that seems to be gearing significant amount of interest. Through our work on the chemical conversion of isobutanol to butylene jet fuel isooctane and paraxylene, we also learned how to convert fuel ethanol into propylene and hydrogen. Our technical economic analysis indicates that both propylene and hydrogen to be produced cost competitively in that part with whatever cost from petroleum based raw materials. This we believe is a game changer. Now propylene is a raw material for packaging materials for films for things like containers, durable goods like car parts, fibers, chemical and media consumer absorbance, glycols, a host of other things, things like diaper non woven, and I know no other technology that we're probably make renewable resources that looks this good. Now as we make propylene, we also generate renewable hydrogen, this hydrogen opportunity is interesting to those strategic interested in fuel cells and cars. The ability to produce cost competitive renewable propylene and renewable hydrogen have been the holy grails of the bio-based economy. And so between ethanol and isobutanol, it looks like we can make heck of a dent in the marketplace as we commercialize these technologies. Now as result we are talking to several potential strategic partners, their range of interest in this technology, the ethanol producers as both users and producers of propylene and hydrogen. So it's our goal to develop and land strategic investment in some form at 2015 to develop isobutanol to hydrocarbons business. Due to the level of interest we are seeing, it’s quite exciting and its important to point out this opportunity involves no biology, no fermentation. You know this idea of no biology that actually resonates with chemical companies, it’s in there wheel house and their sweet spot to get it. We’ve also made really good progress on the IP front, both in terms of defending our position in the course and bolstering the value of our IP portfolio at the patent office. Brett Lund, our Chief Legal Officer is, he can reach you on what has been going on. Brett?
Brett Lund: Thanks Pat. In January we had a very significant result. The U.S. Supreme Court ruled in Gevo's favor and overturned an earlier Federal Circuit Court of Appeals ruling on the interpretation of key patent claims. The result is that Gevo's victory in the Delaware District Court is effectively reinstated, and that the case has been remanded back to the Federal Circuit Court for consideration in light of the new standard of appellate review that was decided in the Teva case. In Teva, the Supreme Court ruled that the Appeals Court must apply a more stringent clear errors standard of review, rather than a de novo standard of review. In Gevo’s case, the Appeals Court must now apply the clear error standard of review and cannot set aside the Delaware District Court's findings of fact in Gevo’s favor unless they were clearly erroneous. Based on the Supreme Court decision, we believe that this means we will prevail at the Federal Circuit Court and this will end the phase of the litigation. In addition to the U.S. Supreme Court win, we have recently had a lot of success in patent reexaminations at the USPTO regarding these filed catalysts. We successfully defended claims in three of our patents and we defeated all of the challenged claims in one of Butamax’s patents. Our IP strategy is to file patents very broadly and then narrow them down in prosecution and reexamination. These recent decisions from the USPTO are very important because the vast majority of the time - over 80% of the time the USPTO invalidates or significantly modifies claims and reexamination. We had two of our very important patents go through reexamination were all of the claims in our patents were confirmed by the USPTO without any modification. This is pretty rare and further strengthens our IP portfolio. Specifically, all the claims in our U.S. Patent Number 8133715 which is our 715 patent were confirmed without any modification. The 715 patent covers the deletion of the major pathway that hijacks carbohydrates from the isobutanol pathway. This is very important win because we believe that this pathway must be deleted in order to produce commercial levels of isobutanol and to be able to support isobutanol production cost that will provide economically interesting profit margins. In addition to the 715 reexam, all of our claims were confirmed without any modification and the reexamination of U.S. Patent Number 8153415, which is not 415 patent. The 415 patent covers the deletion of another major pathway that hijacks carbohydrates from the isobutanol pathway. In addition to the 715 and 415 patent victories, Gevo also secured a key claim in our U.S. Patent Number 8273565 which is a 565 patent, covering technology to enhance the key enzyme in our bio catalyst. Specifically claim ten of the 565 patent covers the combined deletion of [indiscernible] and GPD for dramatically improved DHAD activity within the isobutanol pathway and as key for good pathway performance. Finally, Gevo also successfully challenged Butamax's U.S. Patent Number 8178328 which is the 328 patent and reexamination and all of the challenged claims were deemed unpatentable including 22 new claims that were added by Butamax during reexamination. The 328 patent is a child patent stemming from Butamax’s U.S. Patent Number 7851188 just a 188 patent, which is there so called Foundational Patent and share as much as the same subject matter with the 188 patents and other patents in this family. So this decision is highly impactful to all of the other patents in this patent family. USPTO did in one of our very broad isobutanol to hydrocarbon patents to be unpatentable. This is consistent with the way the USPTO, PTAB has been handling patent challenges and this decision is appeal above. However, we also have many other patents in our portfolio, which more specifically cover our isobutanol to hydrocarbon technologies. I will now turn the call over to Mike Willis, our CFO.
Mike Willis: Thanks Brett. Gevo reported revenue in the fourth quarter of 2014 of $9.5 million as compared to $1.7 million in the same period 2013. The increase in revenue during 2014 is primarily result of the production, in sale of ethanol and distiller grains of $8.8 million following the transition of Luverne plant to side-by-side. During the fourth quarter of 2014, hydrocarbon revenues were $0.5 million primarily related to the shipment of bio-jet fuels in the U.S. Military during the quarter. Gevo also continued to generate revenue during the fourth quarter of 2014 associated with ongoing research agreements. Cost of goods sold increased to $10.9 million in the fourth quarter of 2014 versus $5 million in the same period in 2013 due to the increased production activity at the Luverne plant under side-by-side. Gross loss was $1.4 million for the three months ended December 31, 2014 versus gross loss of $3.4 million in the same period in 2013. After deducting depreciation expense of $1.4 million, Gevo generated a small positive cash gross margin of $0.1 million for the fourth quarter of 2014. R&D expense was $2.7 million in the fourth quarter of 2014 compared to $3.9 million reported in the fourth quarter of 2013. Our R&D activities in the fourth quarter of 2014 continue to be focused on the optimization of our technology to further enhance isobutanol production rates at Luverne under side-by-side as well as production-related activities at our hydrocarbons demo plant in Texas, where we produced our bio-jet, paraxylene and isooctane products. R&D expense decreased in the fourth quarter of 2014 compared with the same period in 2013 due primarily to a $0.5 million reduction in salary and consultant-related expenses and a $0.5 million decrease in expenses at the hydrocarbons demo facility. SG&A expense for the fourth quarter of 2014 decreased to $4.8 million compared to $5.8 million for the comparable quarter in 2013. SG&A expense decreased in the fourth quarter of 2014 due primarily to a decrease of $1 million legal expenses largely related to litigation matters. Within total operating expenses for the fourth quarter of 2014, we reported approximately $0.5 million for non-cash stock-based compensation. For the fourth quarter of 2014, we reported loss from operations of $8.9 million, down from a loss from operations of $30 million in the fourth quarter of 2013. Interest expense for the fourth quarter of 2014 was $2 million which was approximately $50,000 higher than interest expense in the same period 2013. We reported a non-cash loss of $0.2 million during the fourth quarter of 2014 related to changes in the fair value of our derivative warrant liabilities and embedded derivatives contained in the convertible notes issued in 2012. The company also reported a non-cash gain of $0.1 million during the fourth quarter of 2014 related to a change in the fair value of the Whitebox convertible notes. For the fourth quarter of 2014, we reported a net loss of $11.1 million or a loss of $0.11 per share based on weighted average shares outstanding of 98,667,424. This compares to a loss of $17.3 million in the fourth quarter of 2013 or a loss of $0.35 per share. During the fourth quarter, there were no conversions of convertible notes and at quarter end we had 99,628,54 shares outstanding. Our cash on hand at December 31 were $6.4 million. As previously disclosed, we closed an underwritten public offering in February 2015 of $33.25 million common stock units. The common stock units were priced at $0.20 per unit and each common stock unit consist of $1 share of common stock a series at A warrant to purchase one share of common stock as well as series of B warrant purchase one share of common stock. The series A warrant have an exercise price of $0.27 per share or exercisable from the date of original issuance and will expire on February 3, 2020. The series B warrants have an exercise price of $0.20 per share are exercisable from the date of original issuance and will expire on August 3, 2015. The shares of common stock and warrants were separable and were issued separately. The gross proceeds were approximately $6.65 million, not including any future proceeds from the exercise of the warrants. In terms of February offering, we have received an additional $2 million of gross proceeds through the exercise of some of those series B warrants. With that, I'll now turn the call back to Pat.
Pat Gruber: Thanks Mike. All right so bring it all together. We had a very good quarter making progress proving our technology, markets and the value propositions for isobutanol. We believe that the potential of isobutanol has been significantly derisk. We're focused on licensing isobutanol technology both in the U.S. and ex-U.S. and plan on signing up at least one definitive agreement this year. As we attract money we plan on building out isobutanol capacity at Luverne. However, we have learned that it isn’t requirement or prerequisite for licensing. We’ll continue to run our Luverne plant to maximize cash flow. Until we deploy a capital to debottleneck the plant, we will intermittently run the isobutanol side of the plant to seize markets, support customers and prove out step change improvements to the process. We will continue to defend our freedom to operate and our IP. We want to establish the uphold hydrocarbons business with strategic investors that is we contribute the technology, they contribute money and the uptick. We believe that we crossed the value of debt from a technology and scale perspective. We have very large attractive markets in front of us. We have multiple partners, who want to develop the business with us. We need to close the deals with them, we need to generate income from licensing and plant operations to become profitable as a company. So we like where we are from a standpoint of the technology to potential of the markets we see that really is possible to make these chemical products that are cost competitive, cleaner and greener that's attracted to people. There’s a big long run game and we’re in a great position. And with that, we can turn it to questions.
Operator: [Operator Instructions] And we have Mike Ritzenthaler from Piper Jaffray on line with the question. Please go ahead.
Mike Ritzenthaler: One question on EBITDA breakeven at the plant level, that was something that that have been discussed in the past and I was looking through some of the non-GAAP financial information at the end of the press release. Where does Luverne set in terms cash breakeven metrics just understand like a plant standalone basis?
Pat Gruber: We basically hit EBITDA breakeven not potentially positive in November. As you can imagine closing procedures in any given month is obviously a lot different than at any quarter ending or year end. So, its hard to put the flag in the ground and stake in the ground say, we're definitively EBITDA positive, but by all metrics and normal closing procedures we’re EBITDA positive in November. And generally across Q4 was much stronger from a cash loss perspective than any previous quarter where we’re running isobutanol. So it’s very strong quarter for them.
Mike Ritzenthaler: Okay. And then excluding the debottlenecking needs, which how you had talked about couple of times in your prepared remarks, is there a level of CapEx in 2015 that's just necessary to sustain what you've already built?
Pat Gruber: It will be the normal plant maintenance stuff. So it's nothing special what we’re doing.
Mike Ritzenthaler: Right. Have you sketched out what that might be in terms of dollars?
Mike Willis: It would be somewhere in the - $1 million to $2 million range just for general maintenance.
Mike Ritzenthaler: Okay. And this first time that we're talking I guess about - at least the first I have seen the ethanol to hydrocarbon technology piece. And I'm curious about what - where I guess - just from the high level whether this is the right time to be introducing a new technology like that, and maybe just discuss some of the synergies with - between that and some of the work that you’ve already been doing on isobutanol?
Pat Gruber: Sure. Well what it is, we have been working for years on dehydration at our hauls to make the butylenes, jet fuel, octane, paraxylene or else, along the way we don't have to do these ethanol conversions. And what’s interesting is, as we’re talking with people about how to commercialize the butylene from isobutanol, they ask Gevo about propylene and can you do that? And so it's the same kind of people who are interested. So they’re highly related from a market standpoint. And we happen to know how to do with [indiscernible] patents and it’s interesting that we can gain investment from in I believe. And so that matters to what's Gevo right, because we do like such strategic investors and we do have the ability to supply ethanol and butanol. So from that standpoint it’s quite well. So the question, behind your question is what about the focus. We will do it, we have always intended to be a Company who does the alcohol production for sure. But always with EBITDA moving down stream and create applications from these alcohols and that's as long as I have been here at Gevo.
Brett Lund: I’ll just add Mike, that from a resource standpoint and tell you right now that it’s only a couple of bodies that we’re talking about, it's the same bodies that has been behind the work we're doing with Coke or Toray still the anything related to isobutanol the hydrocarbon basically the same team that we just let using ethanol as a feedstock. And when we talk about potential strategic investment it's exactly with that in mind is our current cash is devoted to ensuring that isobutanol is going to be successful and our licensing model is going to successful. So what we'd like to do is have different infusions of capital to be able to potentially put additional resources behind this ethanol to hydrocarbon, but it’s only with that kind of capital coming into play that we would boost the resources dedicated to that business.
Pat Gruber: In other words that's been isobutanol dollars on hydrocarbons, they're doing for ethanol I mean. We’re going to be using or working with other people to do it, and that’s part of the task. It is one of these -our guys did a great job we had little part of plant and lab here the data is unbelievable and that makes polymer grade propylene high pure isobutylene we can also make in it renewable hydrogen and it pencils out that all of these products can be made at a price that's cost competitive with oil based products. Even though it’s made from market price ethanol that's a big deal and the reason it happens the guys came up with some catalyst, they don’t have to do it, they don't need to process and they - it is based at apparently it seems no one has done quite this thing before.
Mike Ritzenthaler: So it's like $1.50 a gallon of ethanol or something like that?
Pat Gruber: Actually we've been using higher estimates [indiscernible] but for it even better.
Brett Lund: It's interesting not surprisingly Mike is I think ethanol plant owners given where given first in ethanol, maybe great to have different outlets for ethanol higher value higher margin outlets. So we think this is potentially pretty game changing for the ethanol industry especially given questions about or have some different sector so pretty exciting.
Mike Willis: And the way we think about it, we have treated as a venture in a way that we’re contributing the technology but the other people bring money. I need the right mix of strategic partners to play. And so far it was quite hard so we’ll soon get it done.
Mike Ritzenthaler: That makes sense. Thanks for the color guys.
Operator: And the next question comes from Jeff Osborne from Cowen & Company. Please go ahead.
Jeff Osborne: Great. Good afternoon. Just following up on the renewable hydrogen conversation you mentioned that data looks impressive. Can you just give us a sense of what the cost to program would be as a hydrogen produce. Is that something that you’re going to share at this point?
Mike Willis: 250.
Jeff Osborne: That's really would be impressive, excellent. Given there is five days left in the quarter. can you give us a sense of expectations here for the March quarter and more importantly just give an EBITDA per gallon in the ethanol industry as a whole in calendar Q1 as a compressed quite sharply. I'm trying to rectify what - reconcile, what you’re doing with the four fomenters over the past couple of months and more importantly the outlook for the second quarter as well. Are you actually producing isobutanol in January and February or did you make a modest profit on the ethanol side and scale back on the isobutanol to elevate some of the cash burn?
Mike Willis: We did run some isobutanol in Q1. However, we did as we described operate the plants for them to maximize margins at the plants and given Pat's comments earlier is unfortunately at the low levels of isobutanol that we’re producing, we definitely - margins are much better on the ethanol side of the plants. So we did run a little bit longer with some four fomenters on ethanol. Unfortunately obviously ethanol margins were challenged in Q1, they are coming back at least for us, they are up probably good 20% to 25% just in the last few weeks or so. So that should help in terms of the cash flow of the corporation in Q2 versus Q1.
Jeff Osborne: I mean this is to Mike in the prepared remarks so what was the cash burn in the fourth quarter and do you have any expectations from operations perspective in Q1 just with some of initiatives you have?
Mike Willis: We didn't give the exact tax burn metric but I can tell you that, from a day corporate wide cash to EBITDA run rate, it was somewhat between $6.5 million to $7 million for the quarter in Q4. It probably would be slightly higher in Q1 given where the ethanol margins were and considering as you recall we had the reduction for us in January. So unfortunately, obviously there is a long term positive related to that but there is the typical some severance payments that you have to make and the like that impacts that type of initiative.
Jeff Osborne: And I should know this but you had the LOIs for quite some time now and just how do you differentiate internally between the 2 LOI and the MOU in reconciling the difference between LOI and MOU in your mind relative to the conversation about having one partner converted over to an actual contract this year.
Pat Gruber: Yes. So the way we think of the LOIs that we have done for the licensing, these are about start corn mills in Canada, that one is we're pushing hard to get that one done. The Highland EnviroFuels' is about – is different thing, so there is stocks to defer. The Argentinean ones core. So those are all still in play but there are one-off, one each plant, one-off type things. To deal with the project is different it is little strategic alliance, is that U.S., ex-U.S. is interesting there have been losses in ex-U.S. and $250 million gallons over a period of 10 years - Mike, what you think.
Mike Willis: Well I mean based on the way that we the discussions we have had today with licensing partners that we believe are economics that they would be willing to bear, we can see our cost of 250 million gallons contemplated across products based plants, outside of the U.S. We can see upfront payments totaling anywhere between call it $25 million to $50 million and then recurring revenues between technology licensing and sales and marketing fees. Ultimately when you get to the full 250 million gallons that can represents a recurring revenue base of something similar like $25 million to $50 million. We do understand based on discussions with the Praj that in certain geographies that they play, there is a bit more of a resonance against the recurring royalty, they are comfortable to sales and marketing team and ongoing royalty is something that is less appealing to certain geographies or folks playing in certain geographies. So that might land itself to higher upfront payments, an upfront prepaid royalty effectively but that kind of gives you a sense for the opportunity base here with Praj versus doing something with one-off licensing.
Pat Gruber: Yes the multiple plant deal, multiple years of partnership they are going to do the development work to do the sugar mill integration with isobutanol process, whole system and offered price and other yeast to do it because of course that is crucial having to separate isobutanol. So that is what we are going to do it and then we will have – it is a broad relationship that will impact just here in the U.S. to we just have when we are ready we will disclose what that looks like.
Jeff Osborne: Understand that. The last question I have is just as inventories of ethanol that drawn down across the industry and exports have picked up. Do you certainly seen an increase on profitability which you alluded to? And I’m trying to reconcile your statement that Pat you don’t need isobutanol production to convert some of these fields or sign additional licenses. So, what it would be the processor internal decision making to convert the four fomenters that’s isobutanol today over to ethanol to maximize the EBITDA potential here, in the second and third quarters, when seasonally profitability is little bit better.
Pat Gruber: Yes. To playback your question, if you're asking me how we do the decision to run isobutanol or not given the margins, is that what you’re asking?
Jeff Osborne: Yes or just what’s involved to do four fomenters of ethanol, skip isobutanol for six months and make it bit more money and it also confident above getting some of these deals converted over.
Pat Gruber: We have to see the markets, so we made commitments to the customers and such. So we’re really doing the balancing act of matching their expectations, we can show that we don’t short them. We really do need these market seeded and it does help to prove out its value proposition and gain confidence. We do plan on ramping up isobutanol again. We'll do plan on landing - they’re people who are interested in investing in Luverne. We would like to laid on those guys and have their investment, and get on with it and ramp up production and it's better if we have a good seeded market do so.
Mike Willis: But I think to answer your question, I think I heard a different question which is, we can operate all four fomenters on ethanol right now. There is no conversion process, we can switch back in forth on that four fomenters between isobutanol and ethanol and then we have already done that Jeff.
Jeff Osborne: Got it, okay, that's what I was asking Mike. So appreciate that. Thank you.
Operator: And that concludes the Q&A session. I’ll now turn the call over to Pat Gruber for final remarks.
Pat Gruber: Well, thanks for joining us. We look this isobutanol technologies part of along its good to be, its good that Praj can see what we have done. There are real - they are substantial company, they have been leaders in the field of doing the process technology and bio-base processing for ethanol and other businesses. It's good to have their validation. And it will help us in the business. We look forward to working with them. We like where the product is in place. We like the way the value propositions are playing up where we expected, in other words it’s a valuable product. And then this hydrocarbons business is exciting. It's exciting from two fronts, one is on the isobutanol to hydrocarbon side were I do believe we can make the world's cars jet-fuel of any bio-base product, its real like fuel, its matter of putting those deals together. And then on the ethanol side we’ll see what happens. This is going to depend upon how the strategic bite, as you heard - as we discussed this, we've been able to generate low cost hydrogen as a big deal and along the way I think the only ones that I’m aware of that are able generate a low cost propylene made from renewable resources. That’s going to be interesting because we will see who bites. And that will be different Gevo in any case. So with that we can ramp it up. Thank you very much for joining us.